Operator: Good morning, ladies and gentlemen, and welcome to the GrafTech Fourth Quarter 2024 Earnings Conference Call and Webcast. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, February 7, 2025. I would now like to turn the conference over to Mr. Mike Dillon. Sir, please go ahead.
Mike Dillon: Thank you. Good morning, and welcome to GrafTech International's fourth quarter 2024 earnings call. On with me today are Tim Flanagan, Chief Executive Officer; Jeremy Halford, Chief Operating Officer and Rory O'Donnell, Chief Financial Officer. Tim will begin with opening comments. Jeremy will then discuss safety, the commercial environment, sales and operational matters. Rory will review our quarterly results and other financial details, and Tim will close with additional comments on our outlook. We will then open the call to questions. Turning to our next slide. As a reminder, some of the matters discussed on this call may include forward-looking statements regarding, among other things, performance, trends and strategies. These statements are based on current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those indicated by forward-looking statements are shown here. We will also discuss certain non-GAAP financial measures, and these slides include the relevant non-GAAP reconciliations. You can find these slides in the Investor Relations section of our website at www.graftech.com. A replay of the call will also be available on our website. I'll now turn the call over to Tim.
Tim Flanagan: Thanks, Mike. Good morning, and thank you for joining GrafTech's fourth quarter earnings call. During the call this morning, we'll provide an overview of our fourth quarter results, share key operational and commercial updates, and discuss our outlook for 2025 and beyond. But I'd like to begin by highlighting our 2024 performance in a number of key areas. Throughout 2024, we discussed key actions we were taking in response to the cyclical downturn the graphite electrode industry faced. We've delivered on all fronts with impressive results. Let me briefly touch on a few areas. Since being named CEO, our top priority has been to reinvigorate [Technical Difficulty] our customer-first focus across our organization. This included a significant increase in our level of customer engagement and investing further in our customer value proposition, allowing us to accelerate our path to market share recovery. Despite flat global steel production outside of China and flat graphite electrode demand in 2024, we grew our sales volume by 13% year-over-year. This growth occurred despite continuing challenging competitive dynamics, including an ongoing increase in the level of electrode exports from certain countries, including India and China. I'm proud of this progress towards what we've consistently noted would be a multi-year path to returning to our historical market share levels. Among others, one of our key initiatives was the introduction of our 800-millimeter product offering. The 800-millimeter launch was executed well by our teams and performed up to the highest of standards during qualifications in 2024. As we head into 2025, we will complete qualification trials on a number of additional furnaces that require 800-millimeter electrodes, making this an important growth platform in the years ahead. On the cost front, a year ago at this time, we announced our cost rationalization and footprint optimization plan. This included the idling of our St. Mary's production facility, a further reduction in capacity at our remaining facilities, and a significant reduction in our overhead structure and expenses, among other initiatives. At the time, we projected this would result in a low team percentage point decline in our cash COGS per metric ton for 2024 as compared to 2023. Instead, we delivered a 23% year over year reduction for more than $1,200 per metric ton, which sets us up favorably for when the market recovers. Our initiatives to manage our working capital levels also over-delivered our initial expectations. For the year, we reduced our working capital levels by $40 million, which is on top of the $108 million of working capital reductions in 2023. Lastly, we capitalized on an opportunity to improve our liquidity position and strengthen our financial foundation. During the fourth quarter, we closed on our previously announced financing transaction. With the successful completion of this transaction, we ended 2024 with $464 million of liquidity. Further, we extended substantially all of our debt maturities to December of 2029. To summarize, we laid out a plan and we executed. All of these achievements reflect our absolute focus on managing the things within our control in order to preserve our flexibility to capitalize on a future recovery in the market. This by no means -- means we are satisfied with our financial performance in 2024. To be clear, we are not. And further actions are needed, and I'll discuss those in a moment. But I would like to express my appreciation for the remarkable efforts of our entire team across the globe. 2024 was a year of significant achievement against a challenging backdrop and I'm incredibly proud of the hard work and commitment demonstrated by everybody at GrafTech. As we enter 2025, we're seeing some green shoots in the broader industry as the market is generally projecting a modest increase in global steel demand for the year. However, significant amount of geopolitical uncertainty remains. We are particularly focused on the potential for tariffs, including retaliatory tariffs as it relates to Mexico and how this might impact our North American supply chain. While this remains a fluid situation, we are considering a variety of potential tariff outcomes. We are actively evaluating our response to the various scenarios and are prepared to act in order to minimize any potential impact, whether it be through proactive inventory movements or other adjustments to our supply chain. More broadly, as we factor all of these geopolitical considerations into our thinking, our current outlook is that demand for graphite electrodes will remain relatively flat in our key regions in the near-term. Despite this, we expect to capitalize on our commercial momentum to continue to grow our sales volume and increase our market share in 2025. However, challenging pricing dynamics persist in most regions. All this leads to a simple fact. The current level of graphite electrode pricing is not sustainable. It's not good for our business in the near-term and more broadly, it's not good for the steel industry. Globally, more than 500 million tons of steel are produced via electric arc furnaces on an annual basis. A reliable supply of high quality graphite electrodes is indispensable to EAF steel production. Therefore, a healthy and growing steel industry needs a healthy and growing graphite electrode suppliers that can invest along with it and grow with it. We will continually proactively pursue opportunities to improve our cost structure. We will also continue to expand on our working capital management initiatives, but we cannot cut our way to growth. At the end of the day, our average selling price must improve. We must optimize our order book by actively shifting the geographic mix of our business to regions where there's an opportunity to capture higher pricing. This includes walking away for some volume opportunities where margins are unacceptably low or where customers do not recognize our value proposition. To that end, we recently informed our customers of our intention to increase prices by 15% on volume that is not yet committed for 2025. Actions such as these are not taken lightly, but it's important that we are compensated for the additional value we provide to our customers, especially when compared to our competitors. This increase is a first necessary step on the path to restoring pricing and therefore profitability to normalize levels that will support our ability to invest in our business. We are relentlessly committed to meeting the needs of our customers by remaining the industry's preeminent supplier of graphite electrodes, leading edge technical support and high quality petroleum needle coke, all of which reflects our focus on creating long-term value for our customers, our employees, our shareholders, our communities and all of our constituents. With that, let me turn it over to Jeremy to provide more color on our operational and commercial performance.
Jeremy Halford : Thank you, Tim, and good morning, everyone. As always, I'll start my comments with an update on safety, which is a core value at GrafTech. We ended 2024 with a recordable incident rate that was comparable to the prior year and continues to place us in the top tier of the broader manufacturing industry. However, to put it bluntly, our safety performance in 2024 was not acceptable, particularly in the fourth quarter of the year. Our operations team is second to none in the industry and we're capable of doing better. Our expectation is to send every one of our employees home safely at the end of every day, and we will not be satisfied until we achieve our ultimate goal of zero injuries. Let me now turn to the next slide to discuss the commercial environment. On a global basis, steel production outside of China was approximately 207 million tons in the fourth quarter of 2024, which was relatively flat to the fourth quarter of 2023. On a full year basis, global steel production outside of China was also flat compared to the prior year, with utilization rates remaining consistently in the mid-to-high 60% range for the second consecutive year. Looking at some of our key commercial regions using statistics recently published by the World Steel Association. For North America, steel production was down 4% in 2024 on a year over year basis. This included a 2% reduction in the U.S., reflecting a modest decline in what has been an otherwise relatively stable steel region. Conversely, steel output in the EU increased 3% for the year, although it remains well below historical production and utilization levels for that region. With that background, let's turn to the next slide for more details on our results. Our production volume in the fourth quarter of 2024 was 25,000 metric tons, which resulted in a capacity utilization rate of 55%. Sales volume was 27,000 metric tons in the fourth quarter, which was up 13% year-over-year and above our previously stated outlook for the quarter. Shipments for the fourth quarter of 2024 included approximately 24,000 metric tons of non-LTA sales at a weighted average realized price of approximately $3,900 per metric ton and approximately 3,000 metric tons sold under our LTAs at a weighted average realized price of approximately $7,700 per metric ton. Expanding on our weighted average price for non-LTA sales in the fourth quarter, this represented a 19% year-over-year decline and a sequential decline from the third quarter of approximately 5%, reflecting the challenging pricing dynamics that Tim spoke to. Net sales in the fourth quarter decreased 2% compared to the fourth quarter of 2023 as higher sales volume was offset by the lower pricing along with the shift in the mix of our business from LTA to non-LTA volume. Turning to 2025, we recently concluded a key customer negotiation window where we engaged in discussions with many of our existing customers as well as new ones regarding their needs for 2025. Overall, we were encouraged by the dialogue and pleased with the resulting level of volume commitments. To date, we have over 60% of our anticipated 2025 volume already committed in our order book, which is ahead of where we were at this point last year. For the full year, we anticipate a low-double-digit percentage point increase in our sales volume for 2025, which comes on top of the 13% full year volume increase we achieved in 2024. Reflecting the targeted actions that Tim discussed to actively shift the geographic mix of our business to regions where there's an opportunity to capture higher pricing, we expect our sales volume growth in 2025 will be primarily concentrated in the U.S. and European regions. Given the muted demand environment, this reflects the success of our customer engagement strategy aimed at regaining our market share. It also reflects investments in our customer value proposition. These investments include an expansion of our technical capabilities related to our Architect furnace productivity system, which is further supported by our world-class customer technical service team. Additionally, we have expanded our product offerings, most notably with the introduction of our 800-millimeter product. While currently a niche market, demand growth for 800-millimeter and other supersize electrodes is expected to significantly outpace that of the overall electrode market in years to come. With our successful launch, we are excited to offer high quality products to meet this need. Lastly, during 2024, we entered into new strategic multiyear electrode sales agreements with certain customers, which will contribute to our volume growth in 2025. Although a relatively small percentage of our overall order book, these multiyear agreements reflect the confidence our customers have in our products and services and their recognition of our unique position of being vertically integrated into Needle coke. And we, of course, value their long-term partnership. Ultimately, all of these initiatives are about strengthening our customer relationship for the long-term to achieve mutual success for years to come. Let me now turn it over to Rory to cover the rest of our financial details.
Rory O'Donnell: Thank you, Jeremy, and good morning, everyone. For the fourth quarter of 2024, we had a net loss of $49 million or $0.19 per share. Adjusted EBITDA was negative $7 million in the fourth quarter compared to adjusted EBITDA of negative $22 million in the fourth quarter of 2023. The improvement was driven by a 25% year-over-year reduction in cash costs on a per metric ton basis. This was partially offset by the impact of lower weighted average pricing and the shift in the mix of our business towards non-LTA volumes as Jeremy referenced. As we have previously indicated, the legacy LTA contracts have been almost entirely fulfilled as of the end of 2024. As such, future results will not be significantly impacted by the mix of LTA versus non-LTA volumes. Let me expand on the cost favorability, which represents an over delivery compared to our previously stated expectations. As shown in the reconciliation provided in our earnings call materials posted on our website, our cash COGS per metric ton were just under $4,100 for the fourth quarter of 2024. This brought our full year cash COGS per metric ton to $4,290 for a 23% reduction year-over-year, exceeding our most recent guidance of a 20% decline. This impressive cost performance reflects the efforts of our teams in identifying and executing against cost reduction opportunities without compromising our ability to meet our customers' needs or our product quality. Moving ahead, we anticipate that our cash cost per metric ton will continue to trend down further over time. The percentage magnitude of the decline, which has reflected the team's incredible execution of our cost savings programs, is expected to moderate over the coming periods compared to the 23% reduction in 2024, but will continue to trend toward our long-term expectation of approximately $3,700 per metric ton. Specific to 2025, we will continue to build on our recent cost reduction initiatives across various components of variable and fixed costs in our business. In addition, our cost structure will benefit from improved fixed cost leverage, reflecting the expected increase in our production volume levels. As a result, we anticipate a mid-single-digit percentage point decline in our cash COGS per metric ton in 2025, which would translate into cash COGS per metric ton of approximately $4,100 on a full year basis in 2025. Turning to our cash flow. For the fourth quarter of 2024, cash used in operating activities was $26 million and adjusted free cash flow was negative $21 million. This brought full year 2024 adjusted free cash flow to negative $56 million compared to being a source of cash in 2023 of approximately $50 million. The year-over-year change reflected a $40 million net benefit from working capital in 2024, as compared to a $108 million working capital benefit in 2023. With the favorability in both years driven by a reduction in inventory, reflecting our efforts to align inventory levels with our view of demand. As we enter 2025, we will continue to build on our working capital management initiatives. For the full year, we anticipate working capital will be favorable to our cash flow performance in 2025, although to a lesser extent than in the last 2 years. These working capital benefits will be realized through a combination of production cost improvements and quantity reductions, while maintaining adequate safety stock of pins and electrodes. Our decisions and actions in this area will continue to be informed by a balanced focus on reducing working capital levels to preserve cash, while remaining well-positioned from a working capital perspective to meet the evolving needs of our customers and capitalize on a recovery in demand. Turning to the next slide, we ended the year with total liquidity of $464 million, representing a $210 million increase in our liquidity from the end of the third quarter, driven by the successful completion of our capital transactions that were announced in November. Our year-end liquidity consisted of $256 million of cash, $108 million of availability under our revolving credit facility, and $100 million of availability under our new $275 million delayed draw term loan. As it relates to our $225 million revolving credit facility, which matures in November of 2028, we had no borrowings outstanding as of the end of 2024. However, based on a springing financial covenant that considers our recent financial performance, borrowing availability under the revolver remains limited to approximately $115 million, less currently outstanding letters of credit, which was $7 million as of the end of the year. Turning to our debt maturity profile. Our new delayed draw term loan of which $175 million is currently drawn, matures in December of 2029. As it relates to our $950 million in notes, we had over 99% participation in the recently completed exchange offer, which provided for a one year extension to the original maturity date of December of 2028. As a result of these transactions, we have substantially no maturities of our funded debt until December of 2029. Let me now turn the call back over to Tim for some final comments on our outlook.
Tim Flanagan : Thanks, Rory. To summarize, we've set out a plan and we continue to deliver. We're engaging with our customers with a relentless focus on meeting their needs. We're adding to our customer value proposition. We're investing in our technical capabilities and product offerings. As a result, we're growing our market share, particularly with key customers in the U.S. We're aggressively cutting costs without compromising quality, safety or environmental performance. We're managing our working capital and capital expenditure levels, while making targeted investments in key areas. We've reduced our operating capacity and we're proactively managing our production to balance supply and demand. And we've capitalized on an opportunity to improve our liquidity position and strengthen our financial foundation. All of these efforts reflect our absolute focus on controlling the controllable to navigate the cyclical downturn in our industry, while preserving our ability to capitalize on long-term growth opportunities. To that last point, while we remain cautious on near term industry trends, we participate in an industry that has many long term and sustainable tailwinds and our long term optimism about our industry remains intact. As I noted earlier, based on industry analyst projections, modest growth in global steel demand is expected for 2025. This includes projected growth in nearly all of our key regions, The EU, The Americas, The Middle East and Africa. Although the global steel market is rebounding more slowly than many initially expected, we find the projected growth to be encouraging. More importantly, we expect decarbonization efforts will continue to drive a transition in the approach to steelmaking over the long term. Based on the latest production statistics published by the World Steel Association, the EAF method of steelmaking accounted for 50% of global steel production outside of China in 2023, an increase from 44% in 2015 with market share growth in nearly every region. While certain steel producers have recently announced a delay in their upcoming transition plans as they evaluate government decarbonization policies and market developments, such companies are not backing away from their long term decarbonization goals. As such, we remain confident that electric arc furnaces will continue to increase their share of total steel production over the long term, which will in turn drive incremental demand for graphite electrodes. Further, the anticipated demand growth for petroleum needle coke, the key raw material we use to produce graphite electrodes, will also present a tailwind for our business given our substantial vertical integration. Both of these key macro themes that we have spoken to a number of times in the past. Our belief about the potential for significant growth in the needle coke market to support the establishment of a Western supply chain for electric vehicles and energy storage applications is consistent with that of the market. The establishment of those supply chains from raw material manufacturing through to the OEMs remains in early stages. As such, during this time, we have continued to build our technical capabilities and demonstrate those to key market participants. Given the results of those efforts and with our extensive institutional knowledge and expertise around needle coke production, we are confident that we are well-positioned to be an attractive strategic partner in this space. Both within and beyond graphite electrodes, we continue to focus on ways to maximize the value of our unique assets and capabilities. Overall, we believe GrafTech is well-positioned to capitalize on the long term industry tailwinds. In closing, this is a pivotal time for GrafTech with many challenges still in front of us. Yet, we're up to the challenge. We set out a plan, we're executing against it. Confident in the steps we are taking have positioned GrafTech to benefit as the global steel market rebounds in the coming years. Further, we possess a distinct set of assets, capabilities, and competitive advantages that will allow us to capitalize on long-term growth opportunities. For these reasons, we are confident in GrafTech generating great value for its stockholders. This concludes our prepared remarks. We'll now open the call for questions.
Operator: [Operator Instructions] Your first question comes from Abe Landa from Bank of America.
Abe Landa : Good morning. Thank you for taking my questions. Just to start off, just a housekeeping question. That lower of cost or market or that LCM inventory adjustment, I think that favorably impacted your cash COGS by $14 million the first nine months. Maybe what was that benefit for the full year or just for the fourth quarter? I know you made some additional adjustments in the fourth quarter, I think it was $25 million for '24. How much will that benefit 2025 stocks?
Rory O'Donnell: Hi, Abe, this is Rory. The full year benefit for 2025 that we'll realize is probably about in the range of $16 million to $17 million. I'm sorry, and you asked for about the fourth quarter as well?
Abe Landa : Well, I guess I could just do the math. It's like $2 million to $3 million is my sense.
Rory O'Donnell: Yes.
Abe Landa : So, and then the valuation adjustments that you made throughout the year, how much does that benefit the 2025 cash COGS number?
Rory O'Donnell: That number I gave you was the 2025 cash COGS number.
Abe Landa : Okay. I'm sorry.
Rory O'Donnell: The $17 million will flow through as a benefit to 2025. Sorry for the confusion.
Abe Landa : And then I'm sure you're going to get a number of questions on tariffs. Obviously, a lot of discussion on 25% tariffs on imports from Mexico. You kind of mentioned potential inventory movements and some other adjustments. Just want to flesh that out a little. That mean you would, those Mexican production volumes would be redirected to other regions or like your European assets kind of redirect to the U.S. and then maybe added on just your commitments -- at 60% commitments you have for the year. Does that take tariffs into account? And if it doesn't, what would happen there?
Rory O'Donnell: Yeah, Abe, thanks. And not surprised to get a question about tariffs for sure. And I think probably what's most important is this remains a fairly fluid or dynamic situation. And I think every business, and we're no different, really is trying to answer a couple questions. One, if these are going to be put into place, two, how much will they be? And three, how long will they last? And we've really been focused on trying to cover this off from all conceivable angles to make sure that we're prepared. At the end of the day, and we've talked about this on previous calls, we look at our operating facilities between main production sites of Monterey, Calais, and Pamplona, as well as the operations that we still conduct in St. Mary's as kind of an integrated supply chain ultimately to deliver to our end customers. So we have flexibility in that supply chain to move production around amongst the various sites that would allow us to continue to deliver to our customers. At the end of the day, we think we've got a plan for just about every scenario that we can conceive at this point in time to minimize the impact. At the end of the day, there still will be an impact, right? You can't completely avoid these things, but we think we can minimize it to a pretty large extent as we move forward and we are prepared to act on that to the extent that these are put in place and come into fruition. And we will continue to adjust as the markets continue to adjust, right? We are a global company with a global supply chain, so this is just one of many sort of intricacies that we have to deal with on a regular basis.
Abe Landa: Do you have a 2024 number of revenue of Mexican products imported to The U.S? Just a way for us to put a number around it?
Rory O'Donnell: Yeah. I mean, we -- Mexico, Monterey as a facility has capacity for about 30,000, 35,000 tons of production. That is split between pin stock productions. As we've talked in the past, we still produce pins in that facility. But again, we've built up a fairly sufficient supply of pin stock that's now sitting in St. Mary's to the extent that it's going to serve the U.S. Market. So, we produce about 35,000 tons out of Monterey. Not all of that volume goes into the U.S, but certainly some of that volume would otherwise come into the U.S. But again, if we think about the overlapping capabilities of the manufacturing network with our plants in Europe, we have flexibility to move that production to the extent we need. And you asked previously about the 60% committed. We are committed. We've agreed with customers on volume and pricing for that and we will honor that and we will deliver those tons to customers around the globe as expected.
Abe Landa: And then maybe just one final one before I pass it along. Congratulations on the debt transaction. Maybe what are your intentions to draw on that delayed term loan? And is there kind of a minimum cash level that you want to maintain?
Rory O'Donnell : Sure. So, I think you may recall that part of the delayed draw term loan, it requires us to draw the final $100 million within 19 months of the transaction. So, that would be around June or July of 2026. Right now, we have no plans to draw it in 2025 based on our view of the business. So that is not a component of our liquidity. As far as minimum cash balances, we don't really -- we haven't really put a peg on that, but I will tell you that, we think that operating safely and operating responsibly, we could go well, well below the historical levels that we've had over the past year or 18-months. If you want to put a number to it, I think we could operate pretty comfortably below the $50 million mark.
Operator: Your next question comes from the line of Bennett Moore from JPMorgan.
Bennett Moore: Good morning, Tim, Jeremy, Rory. Thank you for taking my questions. I'm wondering what the customer feedback has been thus far on the target of 50% price hike and how this might compare to what you're seeing from peers and your other key markets.
Tim Flanagan: Yeah, Bennett, thanks for that. And it sounded like you said 50%. It's a 15% price hike.
Bennett Moore: 15%, yeah.
Tim Flanagan: Yeah, yeah, yeah. No, I appreciate that question, right? And again, this is focused on what we need to do to return our business to a profitable state. We've been focused for now almost two years, as the market has been challenged in many respects on our cost performance, on our working capital, managing our liquidity, taking care of our balance sheet. We've done all those things. We'll continue to do those things. But at the end of the day, pricing in and around the levels that we're seeing today aren't sustainable. And they're certainly not sustainable. That would promote further investment for producers like ourselves to continue to grow alongside of our customers. This is a first step in many that we will have to take to get there. But that's the rationale. And maybe if we just kind of, before I talk about feedback and customer views, let's put this in context for a second. So Q4 pricing was about $4,000 in terms of spot pricing. So if you put 15% on $4,000 at $600 increase for a ton of an electrode, we disclose in our 10-K that it's 1.6 kilograms of electrode consumption per ton of steel produced. So $600 is $0.60 a kilogram or $0.96 over that 1.6%. $0.96 on a ton of steel that's selling for more than $700 is less than a tenth of a percent. So from a customer perspective, this is a small investment to keep the health of their suppliers in place for something that's as indispensable as an electrode. So we're taking these steps because we need to take these steps. And we're focused on those customers that want to partner with us for the long term. There are certainly customers out there that will buy based solely on price. And whether it's one tenth of 1% of their overall margin, or if it's $50, they're going to make a value decision based on price alone. Ultimately, we think we deliver more than just an electrode to our customer. We deliver technical solutions. We deliver customer technical services. So those things we think we should be compensated for. And I think there are customers out there that certainly will engage with us and will work forward. So, we will push hard to get the 15%, recognizing that not all customers will go along with us. But I think, some early reactions from customers is they understand where they're coming from. And they recognize the need for GrafTech in particular to be a piece of their supply chain. And that requires us to be in a sound, kind of operating from a profitability standpoint. So we'll see. We'll continue to push and deliver it. But again, it's a relatively small ask in the grand scheme of things on a relative basis to us.
Bennett Moore: Thanks for that color, Tim. And then assuming these price hikes stick, when could we start to see them flow through results? And also, if you could give any context on the latest needle coke pricing you're seeing in the market too?
Tim Flanagan: Sure. I'll take the first part and I'll let Jeremy talk to the needle coke prices. So just to step back for a second and talk about the contracting process. Remember, so we said 60% of our volume is committed for 2025. If we kind of think about regions in big buckets, right, U.S. purchasers tend to buy on annual contracts. So there's very little of that volume that's otherwise uncommitted, a relatively small percentage of what we'd expect to deliver in the U.S. is not committed at this point in time, but those would tend to be second half deliveries to the extent that there is incremental buying needs. Other regions of the world tend to be more quarterly or semi-annually. So, this really will take effect and those negotiations will be what we're entering into here in the first quarter for second quarter and beyond deliveries. So, the first time you'd see it are deliveries into the second quarter as we move forward. Everything that we've committed in that 60% will remain as committed and as priced when we went through the negotiations here in the fourth quarter.
Jeremy Halford : And then relative to your question on needle coke, really it's largely unchanged as we study the import-export data. We're still seeing pricing for super premium coke in the $1,000 to $1,300 type range per metric ton. And so we still have a long term view on needle coke that anticipates a shortage as we progress into the future. But for the time being, things remain relatively flat with where we saw them for the first three quarters of the year.
Operator: Your next question comes from the line of Arun Viswanathan from RBC Capital Markets.
Arun Viswanathan: Hey, guys. I hope you're doing well. Thanks for taking my questions. Look, it's been a challenging period for you guys for a few years now. Definitely appreciate all the hard work in going through the commercial side as well as operations. So I guess as you look forward, I guess the price increase is probably you explained it very well there, so appreciate that. And I definitely see the justification. But I guess, I'm also curious on the share side. So you did have some share recovery. Where are you in that journey? And I guess as you look forward, is there optimism on how much share you can regain? And what's kind of the mechanism on how you regain that share? Is it, as you said, kind of delivering service to customers? And are you in the process also kind of calling maybe some customers who don't appreciate that value? Maybe just provide some comments on those items.
Tim Flanagan: Yeah. Thanks Arun. I appreciate that question. Hope you are doing well. If we talk about the market share recovery, certainly, if you go back, we did take a step back when Monterey was idled or suspended for a period of time, and we said that this would take a while, right? We use the analogy of you go down in the elevator and you walk back up on the stairs. I think we made tremendous progress in the U.S, in particular, through the efforts of the entire team, both our commercial team, which is on the front lines with our customers, but just as importantly, our CTS team, which is in the mills on a day-to-day basis delivering kind of value added services to each of our customers. So you ask how we do it, right? It's engaging with our customer. It's being in front of them, providing them service and solutions to their problems, improving their overall kind of total cost of ownership, right? And I think we've done a good job of that through 2024, and I think the results will be shown as we can continue to deliver our expectation and results here in 2025. You asked where we're at on that journey. As far as I'm concerned, that journey doesn't stop at any point in time. We think we can continue to provide quality service. We'll continue to improve our product offering for those customers, and we want to be the, the key supplier and the preeminent supplier to every customer that we have in our order book. So we don't have a cap if you will on where we think, we want to be from a market share perspective. I think regionally, you're absolutely right. We're heavily focused not only because of our production footprint file in North America and Europe, but there are other regions in the world that have been important markets for us in the past. Some of those regions today aren't nearly as competitive for us as they have been in the past. So we're making tough choices with certain customers that we're not bidding on business. We're not engaging, because they either are value buyers, and they're only price oriented, or they don't necessarily, or aren't willing to pay a premium for all of the incremental services and value, right? We're not in the business of just delivering an electrode onto a boat and dropping it on a dock of a customer and say, call us next quarter when you need more. We want to be engaged on a regular basis to demonstrate the value we can provide. So customers that value that, we're having a lot of success with customers that don't value that, we're stepping away from, in the near-term. I think as the market recovers and those markets -- the pricing in those markets again becomes competitive for us and more profitable for us. I think there's an opportunity to re-engage because they will want the quality of the electrodes that we produce and sell. But that'll have to take hold as, again, our nice announced price increase take hold and we're all market conditions improve. So, I think there's a lot of work to be done still, but proud of the team's progress to the fourth quarter. We'll keep pressing as we move through 2025 and longer term. Again, I believe fully in the macro tailwinds to this business around EAF production and where those are, where that's headed as well as the demand for needle coke more broadly. I think there's probably been a little bit of uncertainty here recently on the needle coke front and really around EV adoptions and support and stuff. But I think the, the overall view and thematic is, we will see electrification of autos that will increase the demand. It'll just maybe not be at quite the exponential price --exponential price pace, sorry, that we were predicting or that the market was predicting a few years back. But all signs still are positive as we look out medium and long term.
Arun Viswanathan: Thanks for that. And then as a follow-up, just on the regional production that you have, so Monterey, Pamplona and Calais, is there anything else that you, I'm sure you're considering a lot of different scenarios, but maybe you can just talk a little bit about that? Do you kind of, I guess, when you make an electrode in Mexico, is that shipped over here to the U.S.? And would that be considered an export or could you potentially get some exclusions there? Because you are an American company and sending it to American companies, I don't know if that's possible. Or would you instead be shipping from Mexico to other regions and maybe you can ship from Calais and Pamplona to the U.S.? And then I guess along those lines, do you send materials inputs directly from the U.S. down to Monterey to be converted and the other facilities? Or how does some of your trade and logistics kind of work? I'm just not familiar with that.
Tim Flanagan: Yeah, I think if you think about it broadly, right. Everything starts down in Port Lavaca at Seadrift and the production of needle coke, right? So, we produce needle coke in Seadrift and that needle coke is shipped to all three operating facilities globally. We supplant that from time to time with third-party purchases across the globe, but we get other raw materials across the globe as well. But the bulk of our raw materials come through our -- through Seadrift. Where the electrodes that are produced in each of those facilities end-up really is a balance of customer mix, the size, the nature of the product ultimately. But generally speaking, you can think about the geographies as Calais and Pamplona serve Europe and The Middle East and kind of that side. But there is some transatlantic movement of electrodes into the U.S. Monterey serves the U.S. Market as well as Mexico and South America as well. But again, you get some movement again because of some unique products and such between them. So we have flexibility. We have overlapping capabilities between our facilities in terms of size and diameter capabilities that give us flexibility. Obviously, the supply chain as we have it designed today, we feel is optimized for efficient and not only operationally efficient, but efficient from a raw material and input perspective, but ultimately for delivery to our end customers, and we'd like to keep operating that way. But we have flexibility to pivot and modify that supply chain to the extent that there are these sort of tariff or sort of other disincentives to move material from one market into another market. But again, it's probably premature to speculate on what that looks like or how we're going to respond other than saying, we've looked at Jeremy and team have spent countless hours scenario planning for all of the different permeations that that could take place with.
Arun Viswanathan: Okay, great. And then just lastly, when you think about pricing here, obviously, you announced an increase. What -- do you have further support for further increases driven by needle coke or is it going to be driven by supply demand? And if it is driven by supply demand, should your utilization rates kind of continue to tick up on steel demand or where are we in kind of the supply demand for the electrode industry? And are you optimistic about potential for recovery in price as you look forward?
Tim Flanagan : Yeah. I mean, certainly optimistic long term, right? I don't think we would say that right now that we don't recognize that there are challenges in the market, which is again, which is why we're focused on all the things that we've been talking about and all the steps we're taking, including the price increase, right? We do think that there is some forward-looking view that supply demand will continue to imbalance. Right now, there is more than enough supply for electrodes in the West, and we've talked on previous calls about our actions, announced capacity reductions from others, that at some point those will start to take hold. And that should tighten the market and allow prices to move up because of demand, along with the steel growth and the steel demand that we've talked about in 2025, albeit relatively low growth here from ‘24 to ‘25, but still it's a positive development versus the downward or sideways movement we've otherwise seen. I do think we're going to continue to see or I think we're going to start to see some tightness in the needle coke market. There are a number of producers of anode material that are organizing their respective supply chains here in the West, and that they're working feverishly to get their businesses ready for the coming demand for that material and therefore they're going to need needle coke. And if you go back a few years, it was a relatively balanced market. There's supply available now, but that'll tighten up pretty quickly when you start talking about the size of a battery facility and how much needle coke or synthetic graphite that otherwise recover. So, long term, we feel good. Short term, catalysts are needed to push prices quicker to allow our business to recover and get profitability where we want it to be. And those catalysts could be further capacity reductions, any sort of sort of trade announcements in and around China in terms of -- if you think about the huge swing player in the market right now, it certainly is the Chinese with the amount of material that they otherwise export at relatively meager prices that that influence kind of the rest of the global electrode trade. So, there's a few short term catalysts that can move it. Otherwise, it's going to be a little bit of a slower progressive marches as supply and demand rebalance and you get the uptick from needle coke otherwise.
Operator: Your last question comes from the line of Alex Hacking from Citi.
Alex Hacking : The 60% that you have committed, is that all family price or is it pop them and pot contingent? Thank you.
Tim Flanagan: Yeah. So going back to my earlier comments, it is committed both on price and volume.
Alex Hacking : Okay. And then not sure if you're willing to disclose this, but any color around the pricing trend?
Tim Flanagan: Yeah, I think we're going to stick to our past practice of not providing a specific guidance around pricing. But I think if you just go back to some of our previous comments and where the market's at, we've seen four consecutive quarters of decline, and we ended the fourth quarter at about $3,900 or a little more than $3,900 a ton. Mix plays an influence on that. If we put more times into the Middle East and regions or Europe versus the North American region, certainly that'll drag that price down. But certainly, some pricing challenges, I think we've seen at least some stabilization in domestic Chinese prices, right? So that influences what their export market looks like. So, it really comes down to how everybody else in the West competes for material going forward. Probably one thing that's important to point out, or otherwise remember, if you think about the U.S. volume, right? The 60% that's committed is certainly overweight to the U.S. just because they tend to commit on an annual basis versus quarterly contracting and stuff. Prices are lower in Q4 of '24 than where they were in Q4 of '23. So you're going to see a little bit of down drag from the U.S., but otherwise good progress in terms of the overall volume committed and the levels at which we were able to contract those tons. And again, I'll go back to where we have stepped away from certain markets that aren't profitable for us, which will help our ASP as well.
Alex Hacking : And then just one final housekeeping question, if I may. What should we be modeling for interest expense for 2025?
Tim Flanagan: Thanks, Alex.
Rory O'Donnell: So for 2025, as you know, we'll have our fixed debt still outstanding. We'll have that first draw of $175 million outstanding and then draw two $100 million we'll have a commitment fee of about 375 basis points commitment charge. So right around 90 is where we should have interest expense for ’25.
Operator: This concludes our question-and-answer session. I will now hand the call back over to Mr. Flanagan for closing remarks.
Tim Flanagan : Thanks, Constantine. I'd like to thank everyone on the call today for your interest in GrafTech, and we look forward to speaking with you again next quarter. Have a great day.
Operator: This concludes today's conference call. Thank you very much for your participation. You may now disconnect.